Operator: Welcome to the NetSol Technologies Inc. fourth quarter fiscal year 2008 financial results conference call. (Operator Instructions) It is now my pleasure to introduce your host Christopher Chu, Global consulting group for NetSol Technologies Inc.
Christopher Chu: Thank you operator. Hello everyone and thank you for joining us on the NetSol Technologies fiscal fourth quarter and full year 2008 financial results conference call for the period ending June 30, 2008. We have prepared a PowerPoint presentation to accompany this conference call. The document may be found on the main page of the Investor Relations section on the NetSol website located at www.netsoltech.com. In addition I would like to remind you that we are recording and webcasting today’s call. The webcast archive of the call will also be available in the Investor Relations section in the NetSol website. Before we begin, please proceed to slide number two as I read a brief Safe Harbor statement. This conference call and presentation may contain forward-looking statements. These statements reflect the current belief of NetSol Technologies management as well as the assumptions made by and information available to NetSol. Forward-looking statements are not guarantees of future performance and involve risks and uncertainties. Actual future results and developments could differ materially from those set forth in these statements due to a various factors. These factors include among others, changes in the general economic and competitive situation, particularly in NetSol’s businesses and markets. In addition future results and developments could be affected by the performance of financial markets, the fluctuations in exchange rates and changes in national and super national law, particularly with regard to tax regulations. The company assumes no obligation to update forward-looking statements. Moving to the slide number three; during today’s call Mr. Najeeb Ghauri, Chairman and Chief Executive Officer will share key achievements for the recently completed fiscal year 2008 as well as provide an overview of the strategic outlook for 2009. He then will hand the call over to Mrs. Tina Gilger, Chief Financial Officer to review more specific details of the financial results and the forward-looking guidance. Mr. Naeem Ghauri, Europe division President also joins today’s call and will be available in the question-and-answer session. I would now like to pass the call over to Mr. Najeeb Ghauri; Najeeb please go ahead.
Najeeb Ghauri: Thank you, Chris. Good morning and thank you all for joining us today. On behalf of my Board and the global management team, I’m extremely please to report truly impressive financial and operational results for fiscal year 2008, specially taking into account the challenging global economic environment. I hope you have found the Part I presentation we prepared to supplement this call and will follow along with us. The slide numbers we refer to are found at the bottom of each slide. As the press release issued early today and as slide numbers four illustrates, NetSol delivered an outstanding performance in fiscal 2008, delivering record financial results for the full fiscal year that met or exceeded our stated guidance ranges. Revenue rose 25% year-to-year to $36.6 million which is inline with our stated guidance range driven by strong double digit growth rates and licensing, service and maintenance fees on a solid growth margin of 57%. Operating income for the full year increased to 172% to a record $7.2 million and operating margin of 20%. We also successfully translated our robust top line growth into record annual GAAP profitability and record EBITDA results and our full year 2008 EBITDA margin top, our own guidance range coming in at least at about 31% of the revenues. As you’ve seen GAAP net income for the year increased to a record $7.2 million or $0.28 per fully diluted share, inline with our stated guidance range. EBITDA came at a record $11.3 million for the whole year or about $0.44 per diluted share for the fiscal year which we believe is the best metric to measure the underlying profitability for our business. Let’s review some of the top line strategic business highlights for the fiscal 2008. If you flip to slide number five, one of the most important strategic milestones in fiscal ‘08 was the launch and role out of net source BestShoring and Global Business Service strategy, representing an evolution of NetSol’s core business offerings to be leveraged across our range of international client delivery centers. The BestShoring business model and global business service platform reflect our continued focus and meeting our international client’s needs for local market, IT services and software expertise matched with high qualities, low cost offshore delivery capabilities. This formed a key foundation of our strategy for 2009 as we look to further grow our global footprint and expand the breadth of the international client base. I am extremely pleased with our success in securing significant new client relationships as we are seeing an upward trend in the size and value of the client win we are recording. This trend was highlighted by several multi-million dollar contract wins amounts in the fourth quarter of fiscal 2008. I am proud of our regional operating divisions who are successful in converting these opportunities of our core NetSol’s financial suite of products into multimillion dollar contract wins. We saw significantly new client wins in Asia and Europe as we continue to make headway in making our retail NetSol finical suite product offerings more compatible across geographic regions, providing a most global solution suite and creating a most flexible delivery platform for the customers. Evident to our success of this front included a new frame agreement with Daimler Financial Services which extended NetSol’s relationship with its longest standing customer in additional regions of Asia Pacific, the Middle East and Africa, as well as facilitating future market deployments. Our success in 2008 was also highlighted by a further diversification of our IT services market vertical as we established or expanded our presence in verticals such as healthcare, e-government and in defense sectors. We also experienced solid growth in 2008 from Netsol-TIG, our extended innovation joint venture which experienced double digit year-over-year revenue growth as we expanded our billable resources in this joint venture to over 130 employees. If you move to slide six, we begin to look at a diverse rate of growth drivers that are designed to position NetSol to additional revenue and profitability growth in 2009 and beyond. As detailed in our earnings release today we are reiterating our fiscal year 2009 financial guidance which Tina will walk through in a bit. Let me provide some prospective on what we believe will drive this significant growth in 2009. I will start with the Asia Pacific region first, as our largest customer base now extends to over 35 customers and LeaseSoft position their, remains the dominant player in the market for end-to-end leasing software. We believe the LeaseSoft position in the lease and asset-backed finance sector in the region will only grow stronger as we extend our reach with existing customers who wish to migrate their systems from legacy software performs or choose to implement LeaseSoft in greenfield countries where they do not have an asset-backed finance in-place. While we saw a little softness in the Chinese market in the last quarter which we believe was largely a combination of reduced business activities around the Olympics in Beijing and some longer decision making cycles, we continue to see China as a key market for our long term Asian growth strategy as opportunities of our NetSol’s fleet of financial services offerings in China remains vast. Overall we remained very bullish on the strength of our Chinese market position and growth prospects in this important region. Our Chinese sales partner remains very healthy. Through our NetSol PK division we were awarded a second LRMIS value project by the Islamabad Capital territory, while we still contend that NetSol is a front runner for this broader land management project; the ball is now in the Government of Pakistan’s hands. As an update to the overall LRMIS project there is still a total of $300 million available by the World Bank to be shared by multiple service providers for implementing this project. The incremental revenues that could be generated from receiving a partial award of a contract of this certainly bolsters NetSol’s top and bottom line, but for now we are not modeling this project into our 2009 forecast due to the inability to predict the timing of the scope of this potential award. While we remain positive and confident of Pakistan’s newly elected governments, we are now experiencing an extended decision in the time line for the key government contract as the new ruling party establishes its own time line and projects due diligence prophecies. We have no doubt that NetSol continues to represent the premier IT services provider in Pakistan as the Blue-chip IT service company having recently received the best export performance award for 2006 and 2007 for the highest export of IT services from Pakistan. We are working closely with the new government to assess in the continued modernization of key government agencies initiatives. As further evidence of our local expertise and pursuit of excellence, our Lahore development facility achieved ISO 27001 certification in 2008 which is a global benchmark for security controls and protecting information based efforts. In North America, we have made excellent progress in restructuring the business and repositioning the NetSol brand. As you may recall in October 2007 we appointed Mitchell Van Wye as the Chief Operating Officer of NetSol North American division. He has done an excellent job in making the necessary changes. We are continuing to invest in sales and marketing resources given the vast market opportunities in the largest IT service market in the world. We are moving our North American headquarters as announced earlier this week to our new global operating headquarters in Emeryville, California which is right in the heart of San Francisco Bay area. This facility will serve as the primary center of operations for expanding global business as well as facilitate our entry into key new developing markets in Central and South America. We remained very bullish with outlook on the Americans has reflected by a major leaseback win in August values at nearly $200 million. Now in our U.K. operations we have restructured also and this past February we appointed a new head of sales and marketing bringing its strong track record for its sales from Asia practice growth. Our increased traction in the European region was highlighted by a recent large scale lease-up sale to a leading European bank and we look forward to extending this tracking to better penetrate to regions. On the Middle East and the UAE market, we marked a major milestone in June as NetSol expanded its global market base and brand visibility as we became the first US, NASDAQ Company ever to successfully dual-list its shares for public trading of the Dubai International Financial Exchange, or DIFX in short. We believe the UAE which stands at the cross roads of Europe and Asia represents an excellent opportunity to have the extension and modernization of infrastructure in this cash right region, which we believe offers phenomenal new opportunists to NetSol. We have position NetSol for increased brand visibility and recognition in the region which is now in a learning curve for all our services offerings. We see very strong new business offerings by way of new clients, alliances and joint ventures that would leverage our NetSol PK center of excellence technology campus. This followed on the back of winning our first major contract in the dynamic Gulf region with one of the key Saudi Arabia's largest leasing companies. We have already seen dividends from our Middle East initiatives in terms of a wide range of new business leads and increased brand recognition among potential customers as well as shareholders. Overall, our long term goal is for NetSol to be a provider of offshore IT services to the Gulf region and the Middle East in leading provider of leasing solutions. NASDAQ invited NetSol to a closing ceremony in New York this past June in appreciation of our pioneer move to a secondary market listing of the DIFX. It is on the continued success of our NetSol TIG joint venture, we are also exploring additional joint venture opportunities. To complement these organic growth drivers, we are also carefully exploring new alliances and partnering opportunities. This is consistent with our broader growth strategy, to expand our presence in new complementary businesses, verticals as well as strengthen our offshore customer delivery capabilities in new geographies that afford us additional and more diverse access to high quality, low cost IT services professionals. To globally diversify we are examining a range of potential new geographies for a regional programming development center in some new emerging markets, but significant labor cost arbitrage such as Central or South America among others. Finally, you all look out on the recent developments in the global financial markets we are actively evaluating and monitoring the potential influences of the current economic slowdown on our business. While these are historic times in the financial markets in the U.S. and other parts of the world, I can say our global management team is remaining vigilant and we will continue to evaluate this on ongoing bases. In order to provide our shareholders with some additional clarity we are looking to provide some broad color with our contracted business backlog which is another key component of our forecasting and will look to provide some basic color in our half year and year end conference calls. As of June 30, 2008 NetSol’s contracted backlog to be executed in 2009 represents roughly 30% to 35% of our revenue forecast giving us a solid base of contracted revenues. We currently believe this backlog and the combined contributions of our diverse range of growth drivers offered NetSol a broad foundation for our reiterated full year 2009 financial forecast. Overall our increasing diverse customer base, range of global delivery centers, product offerings and addressable markets accurately reflex our strategy to position NetSol as a truly global leader and better position us to leverage the global business opportunities we currently see before us. Moving to slide number seven now, I would now invite our CFO Tina Gilger for a detailed review of our financial results. Tina please go ahead.
Tina Gilger: Thank you Najeeb. Good morning everyone, thank you for joining us today on the conference call. As Najeeb noted we have an exceptional year financial performances fiscal 2008. Let me walk you though some key prospective starting with the top line. As you look at slide number eight you will note that NetSol’s top line revenue growth remains consistent over the last five years reflecting a robust compound annual growth rate of 68%, comminuting in record annual revenues of $36.6 million this year. For fiscal year 2008 revenues increased 25% year-over-year which is inline with our projected full year of guidance range. Looking ahead, we are positioning our global operations for additional growth via extension in existing territories and penetrating new growth markets such as the Middle East as well as Central and South America. Turning to slide number nine, we take a look at major components of revenue for fiscal year 2008 as compared to the prior year. Netsol’s top line for the year grew 25% year-over-year, driven by solid growth in IT consulting and service fees up roughly 26% as well as solid growth and license fees up 30% with these two segments representing the largest components of our revenues. Maintenance fees grew 16% year-over-year. The US license fee segment was highlighted by multimillion dollar contract wins and increased penetration in the business verticals such as finance, e-government and health care. Turning to slide number 10, it shows the breakdown of revenue by business. For the fiscal year 2008 period, as a percentage of total revenue, IT consulting and services represented 48%. License fees represented 35% and maintenance fees stayed relatively stable at 17%. On a geographic basis for the fiscal year 2008 as the percentage of total revenue Asia Pacific represented 68%, Europe represented 21% and North America represented 11%. On slide number 11, we see that Netsol’s historical quarterly revenues culminating with the record revenue of $10.5 million generated in our most recent quarter, a 16% increase in revenues sequentially over third quarter fiscal 2008 and up 23% year-over-year. Moving onto slide number 12, we look at NetSol’s growth margin performance over time. NetSol achieved growth margins of 55% in fiscal fourth quarter in line with NetSol’s operating goal of maintaining gross margins within the high 50% to 60% range. On a forward note our goal is to continue to balance our human capital and overhead for executing our strategic growth initiative. Gross margin for the full year was at 57% also inline with our operating goals. Slide number 13 shows the breakdown of the operating expense for the fiscal year 2008 compared to the prior year. Total operating expenses increased a very modest 6% year-over-year, compared to fiscal 2007 as our revenue over the same period grew at an impressive 25%. As you can see we are continuing to invest in our global sales and marketing resources, up 18% yea- over-year. To support our future growth and expectations we are keeping an eye on operating efficiency. This is allowing Netsol to leverage within our global business and drive bottom line profitability which offers at a full year record. Going forward we are continuing to invest in sales and marketing as well as expanding our base of global delivery centers to diversify our customer delivery platform and support our client’s with regionally aligned, low cost, offshore development centers. I would also note that our DIFX listing process added another $250,000 in non-recurring expenses during the fiscal fourth quarter. As Najeeb mentioned earlier this investment is starting to show returns and greater visibility in the area and new prospects. Balancing our growth and expansions by focusing on profitability is central through our strategy going forward. Moving onto slide number 14, a look at GAAP earnings per share; our fiscal fourth quarter remarks NetSol’s sixth consecutive quarter of GAAP profitability. NetSol’s GAAP net income applicable increased to $2.1 million or $0.8 per diluted share compared to the net income of $1.3 million or $0.7 per pre-diluted share in the prior year. Fourth quarter GAAP net income included foreign currency exchange gains of $1.4 million recorded by a Pakistan subsidiary as the exchange rate and growth fluctuated. For the full fiscal year 2008 Netsol’s GAAP net income applicable to common shareholders was a record $7.2 million or $0.28 per diluted share. This compares to NetSol recording a GAAP net loss of $4.9 million or a loss of $0.28 per diluted share for the fiscal year 2007. Minority interest income detected with one million dollars and $2.8 million respectively for the first quarter and full fiscal year 2008. Minority interest income as related to minority interest and earnings in several of our subsidiaries is the aggregated net income attributable to the minority owners must be direct to Netsol’s earnings. Slide number 15 illustrates NetSol’s EBIDTA performance on a quarterly basis overtime. NetSol posted record and full year EBITDA results. EBITDA is defined as Earnings before Interests, Taxes, Depreciation and Amortizations. The company uses EBITDA of the major of the company’s operating trends. Investors are cautioned that EBITDA is not a measure of liquidity or a financial performance under Generally Excepted Accounting Principles. The EBITDA numbers presented may not be comparable to some other type of measures recorded by other companies. EBITDA while providing useful information should not be considered in isolation or as an alternative to net income or cash flows as determined under GAAP. We believe EBITDA is one of the best metrics to measure the underlying profitability of our business. EBITDA for the fourth quarter was $3.3 million or $0.12 per diluted share on an EBITDA margin is 31%. EBITDA for the fiscal year 2008 was $11.3 or $0.44 per diluted share. EBITDA margin as a percentage of total revenue increased to 31%. I’d like to point out that our fourth quarter and full year EBITDA margins exceeded our target range of 27% to 30% of revenue. Briefly, touching on our Balance Sheet, Netsol extended the full year with approximately $6.3 million in cash and cash equivalent. For more details you can refer to our consolidated cash flow table in the earnings press release and in the form 10K FB that we will file with the SEC. Before moving on to review our financial guidance, I wanted to highlight that NetSol has retained an affiliate in Pakistan as one of the big four accounting firms. The firm has been assisting NetSol as consultants for the evaluation and documentation process of our internal controls ahead of our fiscal year 2010 audit. We believe our hiring of the big four firm with 40 years of advisory experience illustrates NetSol’s commitment to proactively addressing the 404 internal controls compliance requirement well in advance to the required time line. Our internal auditor in Pakistan for the largest activity as presently located is a certified internal auditor under both US and international standard and it’s facilitating to group internal audits as we continue to (Inaudible) in preparation for the audit days with our 10K findings for June 30, 2010. Preliminary fax work added approximately $100,000 in the cost to the fiscal fourth quarter. Let’s now move to our 2009 fiscal guidance on slide 16. Based on our operating division’s strong pipeline and financial forecast, we are reiterating our existing fiscal year 2009 guidance though it is early in the year and we will see growth vary by market as Najeeb touched upon. We are currently maintaining our full year expectations despite the current level of economic slowdown. We do however expect to see a somewhat linear wrap of revenues from the first quarter baseline as we proceed through the year as well as the second half being stronger than the first half. We continue to forecast annual revenue growth of 30% to 35%. Our quarterly gross margin target remains between 50% to 60% range. Our forecast for fiscal year 2009 diluted earnings per share is between $0.40 and $0.45 and margin in the range of 27% to 30% of revenue. We look forward to updating the market in our next conference call. I would now like to turn the call back to Najeeb for some closing remarks; Najeeb.
Najeeb Ghauri: Thank you, Tina. Overall fiscal ’08 was an outstanding year for Netsol from the financial and strategic positioning prospective as it delivered on our stated goals despite the challenging economic times or conditions all over the world. I would like to thank our NetSol team for their hard work and dedication which made this possible. Looking ahead I believe we have the right foundation of growth drivers in place to best serve our customers and our share holders. With that I would like to turn the call back to the operator to facilitate the question-and-answer session.
Operator: (Operator Instructions) Your first question comes from Joe Michael with Rodman & Renshaw; please proceed with your question.
Joe Michael - Rodman & Renshaw: I just have a couple of quick questions for you. First I see the service revenue decreased a bit year-over-year while the license revenue growth has been exceedingly strong. Does this indicate a sort of a different demand pattern from your customers or how should we think about this going forward as your modeling out the revenue lines.
Najeeb Ghaur: Naeem you want to answer the question?
Naeem Ghauri : Yes sure. License revenue has grown ahead of services because there is a time lag between when the license revenue kicks in to when the services revenue kicks in. So, we signed some quite significant deals in the last quarter; so what’s going to happen is as we deliver those products the license revenue will catch up and so sort of proportionately by the end of next year we should be around the same level.
Joe Michael - Rodman & Renshaw: It doesn’t indicate by any chance that there has been less customization demands and sort of more almost I guess off the shelf demands on adjustable product basis?
Naeem Ghauri : No not really. It’s strikes as good news that we have more license income and then what happens is as we deliver the product the customization work projects sort of get underway. So, typically we book our services revenue behind the license revenue according to U.S. GAAP, so you will see the impacts of the services delivered against the license in the forth coming quarters.
Joe Michael - Rodman & Renshaw: I guess my next question is a bit top down. As you expand into these other markets I know that finance is a big focus for you. Can you talk a bit about what sort of sort of challenges or opportunities are presented by some of the more macro issues that the global economy is facing; I guess just the slowing global growth, global economic growth and tightening of the credit markets more specifically?
Najeeb Ghaur: I can make a few comments and then I’m sure Naeem will also assist. Joe the three key areas that I also mentioned in my presentation is really where we believe the bigger growth are coming; one is of course China; China is a emerging market and we are not only quite well settled there, but we are also seeing some new attraction there, so as a result we are expanding our presence there. Second of course the UAE, Middle East market is quite rich with cash and infrastructure related to expansion in the whole region and we believe that our offering by way of our now brand recognition is helping us to really get into that market and you’ll hear more in the next few months, all the new developments that we’ll be working on. Thirdly of course our expansion strategy in the North America business is quite strong. We believe in this market strongly, the whole region between Central and South American and North America, I believe that this is a market where all the big opportunities in the services and solution and so forth are. Therefore also at the start of the difficult time we are positioning ourselves to really pick up the opportunities, the companies that have this kind of scalable offering that causes an advantage, high quality of labor of people and also I believe these three areas are quite strong for us in terms of growth opportunity now. Naeem, do you want to add somemore?
Naeem Ghauri : Yes Joe, just in addition to what Najeeb said, these macro economic indicators in these times, in this kind of adversity, there is opportunity for companies like NetSol, because we are small enough and young enough to have not had the penetration and what’s happening at the moment is lot of these very large financial institutions are going to be cutting costs drastically. This kind of down turn doesn’t mean there is a less need for systems or IT; what it says is that they have less money available to spend. So they naturally will look for more efficient solutions, more cost advantages and so on and the NetSol positioned the way we are, the rupee in Pakistan has devalued, so it makes us lot more attractive in India, the destination for that. So I think we are not seeing any slowdown, whatever the unfortunate events are happening in the US and the U.S. and the rest of the world. We are actually seeing a lot of interest in our products and services and that’s why we stuck with our guidance.
Joe Michael - Rodman & Renshaw: Got it, I think you actually just touched up on the points I was kind of leaning towards. It’s just the fact that in more difficult times people do seek out these lower cost options so you have sort of the benefit of being the low cost provider as well as what’s been happening with the devaluation of the rupee, so I guess accentuating that, so okay perfect. Just to change subjects, I know that some of the US divisions or the automakers have changed their stands as it relates to the passenger car market. Some of them are exiting the lease business entirely. There’s been some volatility around that announcement, I just wanted to have you explain sort of the level of exposure you have there and what impact you foresee that decision having across other aspects to your business.
Naeem Ghauri : Okay Joe let me just pick this up; actually that’s a very interesting question. I think what lot of people don’t understand is our business is not linked to leasing. We are in credit decision making. We actually run finance contracts as well as leasing contracts, so what’s happening is there’s a big switch from leasing because of the huge losses within the residual values of these assets, because these assets have become all of sudden less valuable; I mean that use to be. So when they come off the leases after three years, a lot of these big companies like General Motors and Ford are writing off these assets. So what they’re doing now is that they’re going more towards finance and loan finance rather than leasing. So, I believe there’s a big switch in the type of product, not any reduction in financing. All these captives still have to provide finance to be able to sell cars; they will never stop because in fact they will be a major correction in the business if they stop offering finance. So let’s separate the whole thing from leasing, we are doing both leasing and finance.
Joe Michael - Rodman & Renshaw: I know you guys addressed this one when it first came out, but obviously this doesn’t in anyway impact your total market opportunity?
Naeem Ghauri: All this captive finance companies continue to offer products. Now what they are doing is they are subsidizing these loans. So rather than offering an effective lease where the asset still remains on their balance sheet; what they are doing is they are actually selling the assets and being able to subsidize those interest rates with zero percent or 2% or whatever. That’s really where the shift is at the moment.
Joe Michael - Rodman & Renshaw: Okay and the maintenance fee that you recognized, that’s originally created as a percentage of the original licensing fee; is that correct?
Naeem Ghauri: Yes that’s correct.
Tina Gilger: Yes that is correct.
Naeem Ghauri: No just the license fee sorry; it’s both license fee and the services, the cost of the whole project.
Joe Michael - Rodman & Renshaw: And just is that percentage sort of a moving target based on the complexity of the customization levels and maybe you see those percentages moving up or down in general?
Naeem Ghauri: Joe these gets negotiated when you are signing a preformatted contract and the customer says sort of 22% amount now paid, we usually negotiate on that basis depending from customer to customer, but we’re still able to maintain certain level and there is going to be a lot of pressure on those.
Najeeb Ghauri: Currently we are doing Joe 18% to 19% on the year basis in terms of averages on the company.
Joe Michael - Rodman & Renshaw: Okay great and I think we sort of touched upon this in my first question, but as you do see this expansion on the licensing side, you’ll have the service and maintenance to follow and that’s the time you had addressed?
Naeem Ghauri: That’s right.
Tina Gilger: That is correct.
Joe Michael - Rodman & Renshaw: Okay this is my last question. I know that you had a buy back in place in the past; did you repurchase any shares at all during Q4 and just could you update us as to what’s left on the authorization?
Najeeb Ghauri: Well we did purchase in I believe Q3 close to 14,000 and since then obviously we are watching our cash position quite carefully and so far we have not done any more buying since then.
Joe Michael - Rodman & Renshaw: Okay and what’s left on the authorization?
Najeeb Ghauri: I think it was six months Tina right. We started on 29 March.
Tina Gilger: 1 million shares.
Najeeb Ghauri: 1 million shares of six months (Inaudible)
Joe Michael - Rodman & Renshaw: Okay great and just lastly I want to apologize; it looks like our estimates have been posted incorrectly and that may have created some confusion around the reiteration with very positive guidance levels for 2009 and to finish you’ll be adjusting when our note comes out this afternoon and you guys have done a great job and I hate to see something indirectly negatively impact you or the share price.
Operator: Your next question comes from Scott Ross with the Maxim Group; please proceed with your question.
Scott Ross - Maxim Group: Just real briefly; number one, can you give me the break up scenario for you guys again like NetSol Pakistan, what percentage of your company does that represent?
Najeeb Ghaur: Close to 60%.
Scott Ross - Maxim Group: Okay, what’s the market capital of NetSol Pakistan right now?
Najeeb Ghaur: It’s taken obviously a big hit. If you followed the market lines two, three months that’s about $40 million to $50 million right now I believe. Almost $100 million, but of course due to the economic situation in the region and the change of government there was a bit of instability there, but I think the rightness is about $40 million to $50 million right now.
Scott Ross - Maxim Group: And those numbers are attracting your numbers pretty much right as far as growth and everything.
Najeeb Ghaur: Yes.
Scott Ross - Maxim Group: Okay secondly as far as this Pakistani land contract is concerned okay, I think you addressed it earlier in your presentation; I mean you haven’t included any of the gains from this in your numbers?
Najeeb Ghaur: We want to make sure we do it again; thank you for reminding us. In the ’09 guidance we have not factored or modeled any gains from this contract, even being as I said before that we are depending with the governments, when to decide to release this contract to either NetSol or other second contender, but I think if that happens then obviously we will reassess and have to come back.
Scott Ross - Maxim Group: And Najeeb, how big will this be for you guys?
Najeeb Ghaur: Naeem, if you want to jump in, I’ve got some numbers, but really…
Naeem Ghauri : Just to sort of add to that it’s a matter of degree of speculation as well, because we are dealing the government and they could choose many difference ways of doing this. They could do it in stages, they could do it in phases in a way that the first two years they have an allocation and this is a three to four year project. So really we don’t want to guide the market on the size but essentially there is an allocation from the World Bank which is in excess of $100 million I believe and I think they will have to us this money in a certain time frame, but that’s what we have done as we’ve been very careful in not effecting any of this in our guidance and so once this does get allocated and if we do win this project, then after we’ve assessed it, we will then update the guidance according if it is of material impact.
Scott Ross - Maxim Group: Okay, can you give any kind of clue as to what type of timing or what’s the earliest you could expect to hear stuff on this?
Naeem Ghauri : We have been talking about this now for two years and I’m sort of low to give another date because I think you heard answers before as first half, second half, first half, second half. I think we need to accept this is a bureaucracy, they are going through a transition in the government after eight years we have had a fully democratic government in place; we are really trying to just settle down and I think we should not expect anything at least for the next two quarters.
Operator: Your next question comes from [Mike Vernous] with Newman Capital; please proceed with your question.
Mike Vernous - Newman Capital: Can you walk us through the guidance you gave. I mean obviously where the stock is the market has some kind of doubts about that because of the valuation here; can you just walk us through what you’re seeing in your backlog; what the leads are and kind of what gives you the confidence; what you see growth wise in the US and Europe and kind of how you built that guidance?
Najeeb Ghaur: It will be a two party answer. I will take one and then Naeem will jump in; he’s got very good, up to date, fresh on the pipeline. In terms of backlog which we believe is the committed revenue that we believe that we can get bet on. It involves the maintenance revenue, the joint ventures of universal growth and some more solid activity. I believe based on our calculation just like last week, we’re looking at about 30% to 35% on a committed revenue which translates to about $15 million to $18 million and that is something that we are very confidence and now we have to go from there. In terms of pipeline Naeem why don’t you just update on what you think of the US.
Mike Vernous - Newman Capital: The way our revenue picture works is that we look at what is are our committed revenue which is what you call backlog and what is revenue we expect from existing clients. So keep in mind the clients that we have and we have over 100 customers around the world, they continue to enhance the software. So in any given year, we get anywhere from 25% to 35% from existing clients as well. From what Najeeb has said that he has visibility or backlog from 35% and we also expect another 30% to 35% from existing plans that’s about 70% of our guidance there. So really we’re only looking to win about 30% over the next nine months and we’ve already finished the first quarter. I think we’re nearly over with the first quarter and we have good visibility already in the first quarter that our guidance will be met and that’s why we have not changed the guidance.
Mike Vernous - Newman Capital: So you really only have to close another $8 million or so?
Naeem Ghauri: I mean if we did nothing, we will be flat, if we find no new business. That 70% gives you what we did last year. So, our growth we’re projecting is about 30% to 35%. So what we’re seeing is that over the next twelve months starting from July 1, we need to create about 30% new revenue and the rest we feel very confident is already in place.
Mike Vernous - Newman Capital: Right okay and right because it’s pretty much recurring just to keep you where you are?
Naeem Ghauri: That’s right.
Mike Vernous - Newman Capital: Okay and one other thing, how do we look at currency going forward?
Naeem Ghauri: That’s the good news where our Asian operation is concerned because as you know there has been a depreciation in the Rupee and that lowered our cost price and we don’t see the Rupee rebounding in the near future. We can see that that’s going to be sort of a level for this next nine months or so and that’s going to have a positive impact on our cost rate.
Mike Vernous - Newman Capital: And then one last question; I know it’s set on cash but how do you look at the stock coming back to 240; where do you start triggering that buy back?
Naeem Ghauri: The management has to see first the business challenges and other things that we’ll be doing in different parts of the world, so we have made our way in what is more critical right now. The cash obviously is a gain, but of course there is a pricing here that we have in our mind that we can separate. For now I believe that our net market beside based on these phenomenal numbers we are pleased with the ‘08 results and quite excited about ‘08 history now as we now move forward towards to ’09, the fee that we continue to deliver strong growths of 68% taking the last four years and fifth quarter in a row for profitability in spite of these most challenging times. Perhaps we see it’s a pressure on the market but just phenomenon and you see it from times-to-time, be it by the option and by the open market and we’ll continue that trend.
Operator: Our next question comes from the line of Scott Hudson with MidSouth Investors Funds. Please proceed with your question.
Scott Hudson - MidSouth Investors Funds: This is just a bit of a follow up on the previous caller’s question. With respect to ‘09 guidance, how much of the foreign currency gains or gains on subsidiary shares are you kind of including in that. Can you give me a feel for that or is it?
Najeeb Ghauri: If you can kind of clarify your question, I’m not to sure if we got your question.
Scott Hudson - MidSouth Investors Funds: Well are you trying to forecast currency gains in your guidance?
Najeeb Ghauri: No we are not, I don’t think we’ve have done that, no.
Operator: Our next question comes from the line of Larry Brooks with Maloney Securities, please precede your question.
Larry Brooks - Maloney Securities : I’m just looking at the financial table, and I am wondering if you could kind of describe -- I see your income from operations is a certain amount, of course then you have a gain on foreign currency to give you a net income of approximately little over $2 million. Than you see a translation adjustment which brings you a comprehensive income loss. What is the translation adjustment and what is the comprehensive income loss and why is that not used in the diluted share amount?
Najeeb Ghauri: Tina you wanted to answer that please.
Tina Gilger: The translation adjustment on this financial statement is the change and because a lot of our subsidiaries have used foreign currencies other than the U.S. dollar, is what they brook. So we have to translate that order into U.S. dollars and that currency just represents the change from quarter to quarter, year-to-year on what the translation adjustment would be. As that is not an actual interim items for or less items for us it is not under U.S. GAAP included in the calculation of any earnings per share, earnings per share is just based on our net income.
Larry Brooks - Maloney Securities : So as far as this translation adjustment, it looks like from an historical stand point, it looks like it could represent a significant amount each quarter, $1 million or even more as it has this quarter.
Najeeb Ghauri: Not really, I think is may be a one exceptional quarter in my view, also the way we look at it may offset a little bit of the minority interest. Not that we have to part away with the subsidiary in Pakistan. It’s not a regular thing, because of the weakness of rupees in Pakistan. This is why we have the gain.
Larry Brooks - Maloney Securities : I see, okay well let me model it further then. In your report you show there is a gain on currency transactions $1.4 million and then a translation adjustment, I think that those two are internally separate items then?
Tina Gilger: Yea, they are. Most of the gain that were showing on the financial is in our Pakistan subsidiary where they have seen the depreciation of the rupee which has led to the gain, and the other is the company on an overall basis and its just based on, last year compared to this year, last quarter compared to this quarter.
Operator: There are no further questions at this time.
Najeeb Ghauri: Well thank you again, I hope we were able to answer your questions to your satisfaction and I appreciate you all joining us. We look forward to talking to you again next quarter which will be Q1 sometime in November. Meanwhile, you have a good day and we will keep you updated with the progress, thank you so much.